Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2012 Popular Inc. Earnings Conference Call. My name is Tahisha, and I'll be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. Enrique Martel, Manager of Corporate Communications. Please proceed. 
Enrique Martel: Good morning. Thank you for joining us on today's call. The Chairman and CEO, Richard Carrion; our CFO, Jorge Junquera; and our CRO, Lidio Soriano, will review our fourth quarter results and then answer your questions. We'll be joined in the Q&A session by other members of our management team. 
 Before we start, I would like to remind you that on today's call, we may make forward-looking statements that are based on management's current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from these forward-looking statements are set forth within today's earnings press release and are detailed in our SEC filings, financial quarterly release and supplements. You may find today's press release and our SEC filings on our web page, which you may visit by going to www.popular.com. 
 We also want to remind shareholders and analysts that we will hold our Investor Day on Friday, March 1, in San Juan. You'll find the link to the webcast in the Investor Relations section of our website. For further information, please contact us via e-mail at investor-relations@bppr.com. I will now turn the call over to Richard Carrion. 
Richard Carrion: Good morning, and thank you, all, for joining the call. I'd like to first address the highlights and key events of the quarter and then discuss our progress and priority areas. Jorge will go into greater detail on the fourth quarter and full year financial results, and Lidio will provide an overview of credit trends and metrics. 
 With that, please turn to the second slide. While we reported $84 million in net income in the fourth quarter, this included a $27 million after-tax gain or equity pick-up from our 49% interest in EVERTEC. Excluding this gain, net income amounted to $57 million for the fourth quarter, which was marked by another strong performance from our core businesses and continued improvement in credit. The sequential increase of $10 million in net income was driven by greater interest income, lower loss estimates for our covered portfolio and further declines in our funding costs. The fourth quarter marked a strong finish to a good year that positions the company for continued progress in 2013. The $27 million after-tax gain was our proportional share of a tax grant received by EVERTEC from the Puerto Rico Treasury. Excluding the EVERTEC gain, we earned $218 million for the year, in line with our expectation. Including it, net income for the year amounted to $245 million. 
 We continued to make significant progress on the credit front.  The $125 million decline in held-in-portfolio nonperforming loans was our largest quarterly decrease during the current credit cycle, excluding bulk sales, while NPLs at quarter end reached their lowest levels since December of 2009. More than 2/3 of the decrease in NPLs this quarter occurred in our Puerto Rico commercial portfolio, which underwent its annual credit review in the third and fourth quarters. The reduction in Puerto Rico commercial NPLs was mostly driven by lower NPL inflows and loans returning to accrual status. 
 We entered 2013 with strong capital levels. At year end, our common equity Tier 1 ratio reached 13.18%. And our total capital exceeded the current well-capitalized threshold by $2 billion. Our tangible book value per share at quarter end stood at $32.55. 
 I also want to highlight, that in December, we received a $24 million cash dividend from EVERTEC. Some of the analysts who cover Popular had published estimates of the value of EVERTEC and of our 49% stake. I won't comment on those estimates, but I will say that based on EVERTEC's total adjusted EBITDA of $118 million for the first 9 months of 2012, we believe that our stake in the company is worth substantially more than its current book value of $74 million. Improved credit performance increased the contribution of our $3.8 billion covered loan portfolio in the fourth quarter, while our Puerto Rico mortgage operation had another superb performance. 
 Excluding the EVERTEC gain, gross revenues amounted to $452 million, and our net interest margin increased to 4.41%, which continues to stand well above our peers. Our continued improvement in credit, our unique franchise in Puerto Rico, and our strong capital levels, were the primary reasons cited by Fitch Ratings for their 1-notch upgrade of Popular last week. 
 Please turn to the third slide. In 2012, we made clear and consistent progress on our #1 objective, reducing NPLs. For the year, non-covered NPLs declined by $313 million, the lowest level since 2009, and NPAs fell $384 million to the lowest point since 2010. These reductions were the result of aggressive loss mitigation efforts, resolutions and restructuring, NPL sales, and stabilizing economic conditions. These results have helped lower the provision expense in the fourth quarter by 30% when compared with the year-ago quarter. We've added resources to our credit management function and are operating with both greater speed and higher efficiency in addressing NPLs. We will continue to pursue all opportunities to reduce NPLs, including bulk sales, provided that they make economic sense and create value for our shareholders. 
 Our significant progress on the credit front in 2012 did not have the benefit of a tailwind from an economic recovery. While we are seeing some stabilization, additional measures are needed to put Puerto Rico's public finances on a sustainable footing, as recent credit rating agency reports attest to. We are, however, very encouraged by the new economic and fiscal teams the new governor has appointed. As the largest financial institution on the island, we continue to promote economic development and capital formation to help spur growth. 
 Another important area of focus is continuing to take actions to put Popular in the best possible position to exit TARP at the appropriate time, with the least possible dilution. We have nothing new to report on this front, but of course, we'll continue to keep you posted. 
 Please turn to Slide 4. Based on the latest market share data, we increased our share in 4 out of 9 banking categories, maintaining leading share in 7 of them. Nobody in the Puerto Rico banking sector can offer the range of financial services we provide, and we're making sure that we do so in the best possible way for our clients. Our 32% share of the mortgage origination market and our $22 billion mortgage servicing portfolio has helped us capture much of the opportunity presented by low interest rates, federal refinance programs and local housing incentives. Our Puerto Rico mortgage business increased total originations by 15% to $446 million in the fourth quarter. For the year, mortgage originations were up 21% to $1.5 billion. 
 Increased activity in the Puerto Rico commercial sector during the fourth quarter, led to a $113 million increase in loan volume from the previous quarter. In the U.S., our loan balances have been decreasing as a result of our exiting from discontinued businesses. However, in Q4, we succeeded in growing the loan book, again, through high originations as well as renewal and additional borrowings by clients. U.S. non-legacy commercial volumes grew by $117 million. 
 We'd like to see more consistency in loan demand. We're encouraged by recent loan activity from our commercial clients; to supplement originations, we acquired close to $800 million in high-quality assets during the year, $475 million in U.S. mortgages and $321 million in Puerto Rico consumer and mortgage loans. We will continue to seek opportunities to add low-risk assets to our existing infrastructure, as well as to capitalize on our unique market position, to reap the benefits of greater economic stability. 
 Our revenue-generating capacity remains strong. Popular produced $1.8 billion in gross revenues in 2012. And despite the low rate scenario, the net interest margin of our Puerto Rico operation increased to 5.18%. Going forward, continued improvement in credit performance will support a strong net interest margin and revenue growth by reducing the drag from non-earning assets. As I stated last quarter, we are viewing all of our strategic decisions through the lens of driving shareholder value by increasing ROE. We can grow quality assets and generate returns in excess of our cost of capital, then and only then will we do so. If that can't been done prudently, then we will not pursue growth simply for the sake of growth. With that, I'd like to turn the call over to Jorge now. 
Jorge Junquera: Thank you, Richard. Please turn to Slide 5. Our fourth quarter performance capped a good year. On the revenue side, we saw a 4-basis point sequential increase in the net interest margin. While the 4.41% NIM was partially driven by the spike in the accretable yield of the covered portfolio, the margin was still above 4%, excluding the impact of the covered portfolio. Cost of funds was down 5 basis points on a quarterly basis and 26 basis points when compared with the year-ago quarter. 
 In 2012, we made additional progress in further aligning the cost of deposits with mainland banks. Despite the additional rate cuts we implemented in a low rate environment, we were successful in maintaining our core deposit base. Average balance of deposits, excluding broker, public funds and demand deposit accounts, remained relatively stable in quarter 4 versus the previous year, declining by only $13 million. DTA accounts, during the same period, increased $350 million, which helped support our NIM. Declines in deposit costs have slowed down recently, but we think there is still some room left for additional savings. 
 Income remains stable but other operating income was pushed higher by the EVERTEC equity pick-up, which as mentioned earlier, included a $32 million pretax benefit related to a proportionate share of the tax grant received by EVERTEC. We also recorded a $12 million increase in net gain on loan sales, driven by higher gains on mortgage loan securitizations in Puerto Rico and sales of commercial loans held-for-sale in the U.S. 
 The performance of the covered portfolio continued to exceed our expectations. Lower loss estimates, resolutions that exceed the book value of certain commercial loans, helped push net interest income higher and lower the provision for covered loans by $26 million. However, the benefits were offset by a $30 million increase in FDIC loss-share expense. Keep in mind, that in the long term, lower losses will result in loans generating higher cash flows for a longer period of time. Credit-related operating expenses remained at elevated levels. Higher operating costs associated with covered portfolio -- with the covered portfolio, which are reimbursable by the FDIC, increases in the costs related to performance-based compensation. Seasonal ad campaigns and reserve for operational losses, that when increased, a $6 million in total operating expenses for the quarter. We expect operating expenses to decline with further reductions in nonperforming loans, and slower NPL levels should reduce costs associated with collections, legal fees, appraisals and OREO expenses. 
 As we said last quarter, we have identified about $18 million in quarterly, non-personnel costs, that are related to collections and OREO expenses. A normalized environment should aim to cut about half of that. We have also generated savings as a result of the retirement window we implemented at the beginning of the year. Despite the greater need for personnel in credit and risk management functions, salary expenses are down $9 million annualized when compared with the fourth quarter of 2011. 
 Please turn to Slide 6. We started 2013 with strong capital levels, relative to U.S. and Puerto Rico peers and regulatory requirements. The common equity Tier 1 ratio increased to 13.18%, and we have approximately $2 billion in excess common equity Tier 1 capital over the well-capitalized requirement of 5%. We anticipate maintaining strong capital levels during the next several years, as the Basel III rules are implemented. On the Basel III, we expect to continue growth in excess capital but at a slower pace. 
 Building on our progress in 2012, we remain focused on continuing to increase our strategic and financial flexibility in 2013. Additional declines in NPLs and further strengthening of our capital resources will provide enhanced flexibility for the eventual structuring of our TARP exit. With that, I turn the call over to Lidio. Thank you. 
Lidio Soriano: Thank you, Jorge. We are pleased to report that we continue to make steady progress on the credit front. Before going to the details, let me highlight the key credit trends. Nonperforming loans and nonperforming assets continue to decline, and are at the lowest levels since 2009 and 2010, respectively. NPL inflows reached the lowest levels in 3 years in the fourth quarter [ph]. On a year-over-year basis, NPL inflows were down approximately 27%. The net charge-off ratio remained below 2% for the third consecutive quarter. 
 Please turn to Slide 7. On the top half of the slide, we summarized the trending NPLs over the last year. And speaking in the third quarter of 2010, NPLs are down approximately $920 million or 39%. For the quarter, a $90 million reduction in Puerto Rico commercial portfolio, a $17 million reduction in the U.S. commercial portfolio, an $8 million drop in the U.S. legacy portfolio and a $6 million decline in the U.S. construction portfolio, led to a sequential reduction of $120 million in NPLs. 
 In Puerto Rico, most of the decrease in commercial NPLs was driven by lower inflows of nonperforming loans, and loans returning to accrual, that was after sustained performance by borrowers. In the U.S., 2 milestones are worth highlighting: First, commercial and construction NPLs, including legacy loans, are below $200 million. Second, from a peak of $250 million in nonperforming construction loans in 2009, we are down to 1 nonperforming construction relationship for approximately $6 million, which we expect resolution during the first quarter of 2013. 
 On the bottom half of the slide, we illustrated the steady decline of nonperforming assets during the year; the $384 million decrease for the year, primarily driven by the previously mentioned decrease in NPLs held-in-portfolio and a decrease in NPL held-for-sale driven by loan resolutions and sales. As Richard alluded earlier, we are seeing signs of economic stability, but at the same time, we are also seeing the benefits of our NPL reduction strategies and the increase in resources added to the workout areas. As a result, total NPAs are down $729 million or 29%, in speaking in the third quarter of 2010. 
 The fourth quarter increase in OREO reflects our continuous efforts to aggressively resolve nonperforming loans. The increase was primarily caused by properties foreclosed from the Puerto Rico mortgage and commercial portfolio. 
 During the second half of the year, we restructured our mortgage OREO sales process by assigning our properties to regional management companies who have the responsibility of maintaining and selling their collateral. During the fourth quarter, the number of Puerto Rico mortgage OREO sales and the realization of these sales reached the highest levels for the year. 
 Please turn to Slide 8 to review NPL inflows. On the top right corner of the slide, we illustrate NPL inflows excluding consumer loans. As stated in the introduction, NPL inflows in the fourth quarter declined to the lowest levels in the last 3 years and decreased approximately $436 million in 2012 when compared with 2011. The year-over-year decrease was primarily driven by decreases in the commercial and construction NPL inflows, coupled with the slight improvement in the mortgage portfolios. Commercial and construction NPL inflows, including legacy, amounted to $69 million during the fourth quarter, a decrease of $73 million or 51% when compared with the previous quarter. For the year, total commercial and construction NPL inflows declined $402 million or 47%. The decrease is driven by improvements in both Puerto Rico and the U.S. 
 Mortgage NPL inflows increased by $8 million or 5% during the fourth quarter, compared with the previous quarter. The increase in mortgage NPLs was driven by a greater level of loss mitigation activities from our mortgage portfolio with recourse. We are aggressively working problem loans through a loss mitigation program, which continued to produce good results. Approximately 70% of our restructured mortgage loans are performing a year later. As we discussed in previous calls, we stopped selling mortgage with recourse in early 2009. These loans have an average seasoning of 7 years and average size of approximately $100,000. Repurchase activity peaked in 2011 with approximately $16 million per quarter. For the year, mortgage NPL inflows decreased by approximately $34 million. 
 Please turn to Slide 9. As I mentioned earlier, our net charge-off remained below 2% for the third consecutive quarter at 1.94%. Net charge-offs amounted to $101 million compared with $96 million a quarter ago and $126 million in the year-ago quarter. Net charge-offs for 2012 totaled $403 million, an improvement of $131 million or 25% compared with 2011. The decrease in net charge-offs for 2012 was mainly driven by improvement in the commercial and construction portfolio in both Puerto Rico and the U.S. 
 The provision for loan losses increased slightly by $3 million, from the third quarter to $86 million, due to higher net charge-offs in the Puerto Rico commercial loan portfolio, offset in part by lower losses in the U.S. loan portfolios. The increase in net charge-offs in Puerto Rico commercial portfolio was mainly related to one relationship. For the quarter, provision to net charge-off remains relatively flat at 86%. We are decreasing the ratio for the U.S., offset by increasing the ratio for Puerto Rico. Notwithstanding the decreasing NPLs and net charge-off in 2012, our provision to net charge-off for the year increased slightly to 83% from 81% in 2011. 
 The last item that I would like to cover is the allowance [ph] on related ratios. For the fourth quarter, the allowance for loan losses decreased slightly by $15 million, driven by the improvement in credit quality and stability of our net charge-off ratio. The coverage ratio increased to 44% from 41% in the third quarter, driven mainly by the $125 million decrease in NPLs. As discussed in previous calls, please bear in mind that our coverage ratio is influenced by the percentage of loans subject to specific analysis on our mortgage portfolio. Approximately 50% of our NPLs are subject to individual analysis, and those have been written down to estimated net realizable value. We continue to experience low levels of losses in our mortgage portfolio. The mortgage net charge-off ratio stood at 1.37% for the fourth quarter. With that, I would like to turn the call over to Richard for his concluding remarks. Thank you. 
Richard Carrion: Thank you, Lidio. Please turn to Slide 10. Let me conclude today's call by summarizing the key takeaways. We closed the year with a solid performance and strong capital ratios. Our covered portfolio continues to produce better-than-expected results. We've added resources to our credit management function and are operating with both greater speed and higher efficiency in addressing NPLs, as demonstrated by the continuing improvement in the credit quality of our portfolios in both the U.S. and Puerto Rico. Notably, the substantial decline in Puerto Rico commercial NPLs was the main driver behind our largest organic quarterly decrease in NPLs. We continue to explore all avenues to reduce NPLs, including resolutions in sales that make economic sense. The leading market positions of our unique Puerto Rico franchise are allowing us to benefit from a rebound in loan demand in certain sectors of the economy and sustaining above-average margins. In the U.S., we will continue to build on the improvement we made in 2012 and seek to originate quality assets to offset runoffs and pursue profitable growth. The Corporation's revenue-generating capacity remains strong despite current economic conditions, while our total capital exceeds the current well-capitalized threshold by $2 billion. 
 When we reported Q4 2011 earnings, we made an exception from our historical practice and provided guidance for 2012. At that time, there was a wide disparity between our expectations and analyst estimates for 2012, and we felt the need to address that by offering some clarity regarding our outlook. We want to be as helpful as possible, but we don't believe that providing annual net income guidance is the most meaningful way to do that. So we're returning to our historical practice of not providing annual earnings guidance. We intend to provide an update on our estimated normalized earnings at our Investor Day in just over a month. We believe this is a more appropriate metric for the underlying performance and value of this company. To be clear, we feel good about the progress we've made over the past year and are optimistic that we can continue to build on this progress to increase our strategic and financial flexibility in 2013. 
 Lastly, as you saw this morning, we announced that Carlos Vasquez has been appointed CFO of Popular, succeeding Jorge, who is transitioning to a new role as Vice Chairman. As I stated in the press release issued this morning, Carlos has an extensive financial background and brings a wealth of experience to the CFO position, having shown a great ability to perform in critical and diverse positions at Popular and previously at JPMorgan. Most recently, he restored our U.S. operations to profitability. This change is part of Popular's normal management succession process and reflects the depth of talent available in the company. We expect a seamless transition. 
 I want to reiterate, we are pleased with the progress we made in 2012 and are optimistic that we can continue to build on this progress in 2013, with Carlos and Jorge in their new positions. Jorge has demonstrated uncompromising commitment and made invaluable contributions during his more than 40 years of service to Popular, the last 16 as CFO, including playing a key role in the development of our business in Puerto Rico. During the financial crisis, Jorge ensured that the corporation and its banking subsidiaries always maintained adequate levels of capital and liquidity. I am confident he will continue to make important contributions in his new role as Vice Chairman. To Carlos and Jorge, my sincere congratulations. And with that, we'd like to open the call for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Ken Zerbe from Morgan Stanley. 
Ken Zerbe: First question, just in terms of loan growth, you obviously seemed a little more, probably much more positive on the outlook for loan growth or the activity, commercial activity that you're seeing in Puerto Rico right now. When we think about 2013, is it fair to assume that we could continue to see positive commercial growth from here, or was this more of a 1-quarter unusual positive? 
Richard Carrion: Well, it's 1 quarter in a row so far. But we're hoping, yes, we are hoping that we can generate more commercial loan activity in both Puerto Rico and the U.S. And that's our plan. 
Ken Zerbe: But the economy is strong enough that actually that's a viable... 
Richard Carrion: Strong is not what I would say, but there are some encouraging signs and we are encouraged, absolutely. 
Ken Zerbe: Okay, that helps. And then, I guess the other question, just on the NPAs coming down, so good job in terms of getting those down a little bit. Was any of that -- were there any bulk sales of any size in the quarter? And if not, what's the outlook for bulk sales going forward, because I know it's something you've been working on for a while and we just haven't seen... 
Richard Carrion: Well, no bulk sales in the quarter, and as we've said, probably too many times, we'll look at bulk sales and if they make sense, we'll go ahead and pull the trigger and execute them. But the key is that they make sense and we're happy to do them. We are also happy with the progress we have made in bringing down NPAs, and I think we can continue to do that even absent bulk sales. 
Ken Zerbe: At the same pace? 
Richard Carrion: Bulk sales will be faster, obviously. 
Ken Zerbe: No, I mean, without the bulk sales, do you think you can get the NPAs down? 
Richard Carrion: Yes, I think we can continue the pace, yes. 
Operator: Your next question comes from the line of Gerard Cassidy from RBC. 
Gerard Cassidy: Can you guys talk about the cost of deposits? Can you bring that -- you've got such a great market share in Puerto Rico, can you bring that down from the current levels where you are today? 
Richard Carrion: I think as Jorge mentioned, we have succeeded in bringing it down. We do have a high component of passbook and other types that it gets tougher to bring it down. I think we operate better. Our margin operates better in a higher interest rate environment. That said, we have had a lot of success in bringing it down. The margin increased this quarter, which is not what you've seen in the mainland. And so we do -- we've had success bringing it down. We think there's still a ways to go there. 
Gerard Cassidy: And then to follow up on your guidance comments about the EVERTEC investment, what kind of analysis do you do to determine -- you pointed out that the market value is materially greater than what you carry it for and everybody has their own estimate, of course. But what kind of analysis are you doing to determine whether you should just keep it on the books or should you sell it, realize the sale and then use it to possibly write down distressed assets more quickly? 
Richard Carrion: Well, we are a passenger in that car, not in the driver's seat. We like where the car is going, but we are -- we don't have a control of that asset. We have 49% and there are some governance provisions which determine what we can and cannot do with our stake. That said, we think that the capital is earning a very good return. And if there is an opportunity down the road, we will certainly execute. 
Gerard Cassidy: And then the final question on TARP, you pointed to that you could potentially start paying it off in segments or chunks. Should we anticipate that there could be a possible partial TARP repayment in 2013? Or is that too optimistic? 
Richard Carrion: Well, we didn't -- what we said is, we have no new news on exiting TARP. Obviously, we want to do it, but we want to do it in terms that are favorable and in terms that we think are just. So we'll continue to work on that. We'll continue our dialogue with the regulators, since anything we want to do will need to be approved by them. What we do think is that the better we improve our condition, the more flexibility and the more optionality that we'll have regarding TARP exit. And as I think we've mentioned, the interest rate reset doesn't really affect us in a sense that we have that discount, and the effective rate will not really change. There'll be some slight impact on cash but nothing that we can't handle. So in that sense, we don't feel this immense pressure. Although I must mention, some of my guys occasionally talk about cash bonuses, but not too frequently. 
Gerard Cassidy: [Operator Instructions] Your next question comes from the line of Todd Hagerman from Sterne Agee. 
Todd Hagerman: A couple of questions, I guess for Lidio on the credit side. One, on the commercial, obviously, very good progress, again on the commercial side, but as I look at the numbers and I think about the clean-up in Q2 with the held-for-sale and the marks there, charge-offs fairly heavy again this quarter, but I guess, the question simply is, as we think about the charge-offs and the marks taken on the commercial portfolio over the last 6 months, how should we think about the outlook going forward again, assuming that NPAs will continue to trend lower? 
Lidio Soriano: As it relates to charge-offs specifically? 
Todd Hagerman: Well, yes, just in terms of the marks on the commercial book, the progress you're making and, again, like if I'm thinking about Q2 and the held-for-sale and the charge-offs in Q4 in the commercial portfolio, you're obviously making progress, but I'm just trying to think in terms of more order of magnitude, are we getting closer in terms of the appraised values? You mentioned the deep dive that you've done in the last 2 quarters in terms of reviews, where -- what's the comfort level now in terms of the underlying book value on these credits? 
Lidio Soriano: I will say much more comfort than the first time I sat in this to take a call. Over the last year, we have seen tremendous progress in the commercial front and net charge-offs, as we mentioned, for the corporation has been under 2% for 3 consecutive quarters. So to answer your question, I will say outlook is more positive than, or has been, the last year and the recent experience. 
Todd Hagerman: But in other words $57 million this quarter obviously a fair amount of clean-up, but again, in terms of order of magnitude, could we possibly see that number drop in half? Is it going to come down more modestly, how should I think about that [indiscernible]? 
Lidio Soriano: Generally, I mean, this is a difficult question to answer what is going to precisely be the number, what does it have, 70%, 80%? Clearly, I mean, seeing the trending credit qualities is improvement in both Puerto Rico and the U.S. So we will expect those numbers to show equal improvement as we continue to move forward. 
Operator: Pardon the interruption, we just lost him, he -- I guess his line went idle. So we'll move on the next question, and that comes from the line of Alex Twerdahl from Sandler O'Neill. 
Alex Twerdahl: First off, I was wondering if you could elaborate on the drop in the FDIC deposit insurance that happened sequentially? Just talk a little bit about what changed, and can we take that to assume that maybe your CAMEL rating has improved? 
Richard Carrion: No, I would not assume that. I mean, it's a tough formula to really look at. We did do a deep dive and we found some savings opportunity. So I think that Q4 expense decline reflect the benefits of certain risk-based adjustments to the calculation that we made as a result of that review. Another example is we merged our mortgage subsidiary into the Puerto Rico bank and that reduces the annual expense by about $10 million, based on the related asset classifications under that assessment methodology, which is to say the least, pretty convoluted. 
Alex Twerdahl: Okay, so is the $13.7 million number, is that kind of around the run rate that we should expect going into 2013 per quarter? 
Richard Carrion: Well, again, remember that, that assessment will depend on asset size and the balance sheet risk composition. So it's a variable that it would change over time. The fourth quarter number did include some one-time benefits. We would expect the near-term normalized expense under $20 million a quarter, but that will depend on what happens on the balance sheet. 
Alex Twerdahl: And then just, I didn't see the level of accruing TDRs in the press release. Can -- Lidio, do you have that number in front of you? 
Lidio Soriano: Sure, accruing TDRs for the quarter stood at approximately $650 million from a total of $1.15 billion. 
Alex Twerdahl: Of total TDRs, okay. And then Lidio, you also talked a little bit about how 51% of the loans have been -- are subject to individual analysis and have been written down to an estimated realizable value. I was wondering if you could just put some numbers around that and talk maybe about sort of where that -- what that estimated realizable value would be for some of those loans, as a percentage of unpaid principal balance? 
Lidio Soriano: I mean, we have -- in previous releases, we have provided much more details into the coverage ratio and the information, but generally, it's about 30% mark in terms of lifetime charge-off on valuation vis-a-vis unpaid principal balance. So it's about a 30% mark. 
Alex Twerdahl: Okay. And then just final question, on the joint venture that you sold, the $360 million of commercial construction loans to, about 1.5 years, can you maybe give us a little update on how the resolutions are going there? And whether or not you think they might have some appetite for further loan purchases off your balance sheets in the future? 
Richard Carrion: Well, let me say, I think they're going a lot better and a lot faster than was originally forecast. And the evidence is that the loans we made to the entity are being paid off at a much faster rate, and our loans need to be paid off before any cash distributions get made. As to whether they want to do some more, you'll have to ask them, I don't know. 
Operator: Your next question comes from the line of Derek Hewett from KBW. 
Derek Hewett: I'm not sure if you guys mentioned this earlier, but what portion of the island commercial loan growth was organic versus purchased? 
Richard Carrion: In this quarter, it was all organic. 
Derek Hewett: It was all organic? 
Richard Carrion: Yes. 
Derek Hewett: Okay, and then how much cash is currently at the parent given the EVERTEC dividend? 
Richard Carrion: $300 million -- I'm getting the sign that it's $300 million, around $300 million, Derek. 
Derek Hewett: Okay, great. And then maybe asking that credit question a different way. I mean, if you take a look at the -- your total of level of NPAs, at what percentage of a mark on the entire portfolio do you guys currently carry that -- those loans? 
Lidio Soriano: I'm sorry, Derek, you relate to commercial or the whole books? 
Derek Hewett: On the entire book? 
Lidio Soriano: It is quite different because obviously, a significant portion of our NPA books is mortgage loans. As we have mentioned before, in that particular book, the losses in Puerto Rico, which is the biggest component of the portfolio, has been low and therefore the mark on that portfolio is much different than in the commercial piece. In that portfolio, the mark is -- are in the teens, while in the commercial book, as I mentioned, is closer to 30%. 
Richard Carrion: That OREO would be at market value less [indiscernible]. 
Derek Hewett: Okay, and so that would be 30 -- you have a 30% mark on the entire commercial portfolio? 
Lidio Soriano: Correct, yes. Lifetime charge-offs and adding to that, the reserve, yes. About 30%. 
Derek Hewett: Okay, and of that 30% mark, what percentage is current reserves on that versus... 
Lidio Soriano: Most of it is charge-off. Most of our portfolio, is as we have mentioned, is specifically analyzed and back in 2010, we changed our charge-off policy in which we don't reserve, I mean, we take any impairment, we charge off promptly. But most of it is lifetime charge-offs. 
Derek Hewett: Okay, great, and then one -- maybe one final question on credit is, do you think that the pace of NPL inflows will kind of improve from kind of these low fourth quarter levels going forward? 
Lidio Soriano: We're very encouraged by the trend, and we think that we'll continue to see positive trend as we move into 2013. 
Operator: And gentlemen, we have Mr. Hagerman, that is back on the line. 
Todd Hagerman: Let me move on. But Lidio, now I wanted to transition to the mortgage portfolio, if I could? And what I'm trying to get at is really the split and a better understanding between the core portfolio and the repurchase portfolio? I noticed in the quarter that effectively, charge-off is relatively flat, NPLs came down, but NPA inflows actually ticked up a little bit. Could you give me a little bit more insight between the core portfolio and the report purchase portfolio, and how those optics really come together? 
Lidio Soriano: The recourse portfolio, as we have said, is part of our legacy activities that we did. We stopped that activities in early 2009. That portfolio is down to about $3 billion. It has come down over the last 2 years, about $1 billion, and in terms of asset quality, it has gone down from double digits in 90-plus delinquency to a number that is closer to 5% today. We used to -- and you'd speak during 2011, we purchased about $240 million of mortgages from a recourse portfolio, we are down to $35 million a quarter, and this quarter was about $41 million. As we mentioned, I alluded during the script or the conference, part of that increase related to loss mitigation activities. As clients come in and they're looking for loss mitigation activities, we're providing them such benefits to them and when we do that, we purchase the mortgages from the recourse portfolio. So that was the increase that you saw during the fourth quarter. Overall, just, let me finish, I'm sorry. Overall, we feel very comfortable with the risk that we have in both on-books as well as off-books portfolios. 
Todd Hagerman: And then just in terms of the past due number, the 90-days past due, just in terms of some insight there? 
Lidio Soriano: For the on-books or off-books? 
Todd Hagerman: For your book, yes, the -- again, the core portfolio. 
Lidio Soriano: In terms of our core portfolio, the 90-plus is around 12% in the Puerto Rico. I'm talking about mostly Puerto Rico, but it -- that drive the numbers. So it's about a 12% number for -- which includes the loans that we have repurchased. 
Todd Hagerman: Okay, terrific. And then Jorge, a question for you, just in terms of the spread income. Again, it looks like essentially kind of reclassification this quarter with the covered portfolio and the cash flows. How should we think about that on a go-forward basis and kind of the benefit, if you will, in spread income with this reevaluation this quarter? I'm trying to get the numbers squared away. 
Jorge Junquera: As you know, we do have to do the recasting every quarter. And the nature of this portfolio is that it's reducing and it's a high-yielding portfolio. So it will continue to put pressure, downward pressure on the yield on loans. We're continuing to try to offset that by lowering the cost of deposits on both, here in Puerto Rico and in the U.S. But as we mentioned earlier, the drop that we have undertaken, it's beginning to slow down, the continuous drop is beginning to slow down. But we still see some more room for improvement. By nature, you're going to get the margin to gravitate lower, but slowly, we still see that we will maintain a very comfortable margin in our operations for the next few quarters. 
Todd Hagerman: Okay, and could you just say, just in terms of the quarter itself, about -- what was the influence on the cash flow adjustment in terms of basis points? Do you have that number? 
Jorge Junquera: Vis-a-vis, we don't have that number done, no. But as we mentioned, if you exclude the entire effect of the covered portfolio, the margin will still be above 4%. 
Todd Hagerman: Okay. That's very helpful. And if I could -- just one quick last one, it looks like the disallowed DTA picked up a little bit in the quarter. Could you just talk a little bit about that? 
Richard Carrion: Okay, yes, we'll have Jorge Garcia answer that. 
Jorge Garcia: The change is mainly related to the tax basis, it's more of tax strategy. It's not related to any type of book income or anything like that, it's more on the tax side. 
Todd Hagerman: Was that -- was any part of that tied to the EVERTEC? 
Jorge Garcia: No. 
Todd Hagerman: Okay. And on a go-forward -- but again, just -- you think about the improving profitability of the company, I know a lot of this, or essentially all of it, is tied to North America, but would I -- how should we think about the pace of that coming down? 
Richard Carrion: The DTA is really in Puerto Rico, it's all in Puerto Rico. 
Todd Hagerman: Or excuse me, I'm sorry, Puerto Rico, correct. 
Jorge Garcia: And the changes in the disallowed will depend -- it depends a lot on the actual statutory tax impact of Puerto Rico. So it's not just simply on a GAAP accounting basis. 
Operator: You have a follow-up question from the line of Ken Zerbe from Morgan Stanley. 
Ken Zerbe: Yes, just a quick one here. Just in terms of total operating expenses x anything related to the FDIC, it just seems that they were a little bit higher, I mean, personnel, occupancy, professional fees, how should we think about this going forward? I mean, as you continue to grow loans, or do we see more on the related expenses? Or is this -- or is there something unusual or do they just stay high? 
Richard Carrion: No, we don't -- there wasn't really anything extraordinary in the quarter. As we have mentioned, we're running relatively high on operating expenses due to the cost of managing credit. To the extent that we continue to lower the nonperforming loans, we will be looking for reductions in expenses. And that's going to be the main driver of the reduction in expenses going forward. And there is some room, there is some room for reduction, but it will be principally dependent on the activity of reduced NPLs. 
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day. 
Richard Carrion: Thank you.